Operator: Good morning. My name is Ashley, and I will be your conference operator today. At this time, I would like to welcome everyone to the Pangaea Logistics Solutions Second Quarter 2021 Earnings Teleconference. Our host for today's call are Mr. Ed Coll, Chairman and Chief Executive Officer; and Mr. Gianni Del Signore, Chief Financial Officer. Today's call is being recorded and will be available for replay beginning at 11 a.m. Eastern Standard Time. The recording can be accessed by dialing 888-276-5315 domestic or 402-220-2232 international. All lines are currently muted. And after the prepared remarks, there will be a live Q&A session. [Operator Instructions] It is now my pleasure to turn the floor over to Ms. Emily Blum with Prosek Partners.
Emily Blum: Thank you, Ashley, and thank you for joining us for this morning's second quarter 2021 earnings conference call for Pangaea Logistics Solutions. With us today from the company are Chairman and CEO, Mr. Ed Coll; and Chief Financial Officer, Mr. Gianni Del Signore. Before I turn the call over to Ed, I'd like to read the safe harbor statement. This conference could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Pangaea Logistics Solutions. Forward-looking statements are statements that are not based on historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Pangaea Logistics Solutions' management and are subject to risks and uncertainties, which could cause the actual results to differ from the forward-looking statements. Such risks are more fully discussed in Pangaea Logistics Solutions' filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risks. Pangaea Logistics Solutions does not assume any obligation to update the information contained in this conference call. Also, please recall that, a supplemental slide presentation will accompany this call. Those slides can be found attached to the 8-K that was filed with the last evening's release, which is available on the investors section of www.pangaeals.com under Company Filings or on the SEC’s website at sec.gov. Now, I would like to turn the call over to Pangaea Logistics Solutions Chairman and CEO, Mr. Ed Coll. Ed?
Ed Coll: Thanks, Emily, and thanks to all who have joined us today. I hope you and your families are healthy and safe. This morning, I'll provide an update on our operations and the overall market before turning the call over to Gianni, our CFO to provide a more detailed overview of the second quarter of 2021. We'll then open the line for questions. We hope that, you've had time to review our press release and accompanying presentation, which were issued last evening. Our second quarter results were record-breaking, an extremely active quarter from both an operating and investing perspective, benefited from the continued increase in the dry bulk market for the first half of 2021, as we've seen freight rates rise to levels not seen in over a decade. Our quarterly results improved considerably year-over-year, as our average net TCE earned $21,053, an increase of almost 100% compared to the second quarter 2020, and we generated net income of $19.2 million compared to a net income of $3 million in the second quarter of 2020. As we've said in the past, our client-focused business model that prioritizes cargo helps us to maintain profitability in volatile markets by reacting quickly to such changes. While our earned TCE for the second quarter was the highest earned in many years, the rapid rise in resulted in no TCE premium over the market averages for the second quarter. This is a normal consequence of a rapidly rising market as spot fixtures become old quickly and our contracted cargo tends to lag instead of bleeds in this kind of market. As you can see both are still profitable in this market. We were also excited to take delivery of the first two of our four ice class new building vessels during the second quarter. The time deliveries expand our industry-leading ice class capabilities to meet our clients' needs and will be fully deployed during the summer arctic shipping season. The third and fourth vessel will follow in late Q3 and early Q4, and be ready for the ice season next year. We're also happy to report the successful delivery and financing of three secondhand vessels as part of our fleet renewal and expansion bringing our total owned vessels to 24 after the delivery of our final two ice class newbuildings later this year. The Bulk Courageous, Bulk Valor and Bulk Promise add to our available owned days and our timely steps in our effort to improve our average fleet age. Gianni will discuss the financing arrangements on these acquisitions. Collectively, we are encouraged by the steps we've taken to deploy our capital, focus on niches and capitalize on an improving dry bulk market, to generate and return shareholder value. During 2021, we reinstated our dividend increased at $0.035, which we have continued to do this quarter. As we look ahead, we're encouraged by the fundamentals in the dry bulk market, with historically low order book, stable demand outlook and market disruptions from the container and commodity trades all in favor of the shipowner for now. Our TCE earnings continue to improve heading into the third quarter. As of today, we performed 2,530 shipping days through August 9 at an average TCE rate of approximately $27,000 a day. We'll continue to be opportunistic as we have seen in delivering the best-in-class services for our clients, looking to acquire new vessels when opportunities arise, and developing new business that complements our platform. We look forward to updating you of developments in the coming quarters. With that, I'd like to now turn the call over to Gianni to provide some additional details on the financials. Gianni?
Gianni Del Signore: Thank you Ed, and thank you all for joining us on today's call. Before walking through our financials, I'd like to expand on the vessel acquisitions and highlight our results for the quarter. As Ed mentioned, we are excited about our recent acquisitions, which resulted in one of the more active periods for Pangaea in recent years. We took delivery of the first two newbuild vessels and two secondhand vessels the Bulk Courageous, which was financed for $12 million payable over seven years, with an interest rate of LIBOR plus 2.75%. And the Bulk Valor, which was financed for $13.3 million payable over seven years with a fixed interest rate of 3.29%. In July, we took delivery of the third secondhand vessel, the Bulk Promise, which was financed for $12.8 million payable over six years with an interest rate floating at LIBOR plus 2.3%. Collectively, net of the proceeds, we've deployed $15 million towards these timely vessel acquisitions, adding to our own days and expanding our operating leverage as efficiently as possible. Turning to our second quarter financials starting on page six of our presentation. The continued improvement in the market, during the second quarter, resulted in increases in both voyage revenue and time charter revenues. Voyage revenues increased approximately 76% and charter revenues, which are opportunistic and more closely tied to the market, increased approximately 695%. The optionality of our chartered-in strategy, allows us to expand or contract our chartered-in fleet and in turn selectively release excess ship days into the market under spot time charter arrangements. Our TCE rate earned increased 96% to $21,053 per day for the second quarter of 2021 compared to $10,733 for the same period of 2020. Charter expenses paid to third party shipowners increased to $62.6 million from $15.2 million, a 312% increase due to increases in market rates to charter in vessels and an increase in charter days as part of our nimble strategy, in which we limited our exposure to the market and reduced our chartered-in fleet in 2020 due to the impacts of COVID-19. Unrealized gains on derivative instruments, was $6.3 million for the second quarter of 2021 compared to $1.4 million for the same period of 2020. As we've discussed, we utilized forward freight agreements and bunker swaps to selectively hedge our exposure to the market on our long-term cargo contracts and forward cargo bookings. While this locks in future cash flows, the mark-to-market gains or losses can lead to fluctuations in the company's reported results on a period-to-period basis while settlement of the position and execution of the physical will occur at a future date. Net income for the quarter was $19.2 million or $0.44 per share compared to net income of $3 million or $0.07 per share for the same period in 2020. Moving on to the balance sheet and cash flows on page 7 of our presentation. We ended the quarter with $40.6 million of total cash and cash equivalents, following an active quarter of operating investing and financing activities. The decrease in cash from year-end was primarily due to cash used in investing activities for vessel acquisitions. Further, as Ed mentioned, we have declared another $0.035 quarterly cash dividend. With that, I will now turn the call back over to Ed for any additional remarks before we get to the Q&A portion of the call. Ed?
Ed Coll: Thank you, Gianni. Thank our customers, our business partners and our shareholders for their continued commitment and partnership, and we look forward to updating you further in the coming quarters. I'll now open the floor for questions.
Operator: [Operator Instructions] And we'll take our first question from Liam Burke with B. Riley. Please go ahead. Your line is open.
Liam Burke: Thank you. Good morning, Ed. Good morning, Gianni.
Ed Coll: Good morning.
Liam Burke: Ed, you've had a pretty active acquisition program on the fleet both on the newbuilds and on the secondhand. Part of your strategy is on fleet renewal. Is there any thought given to some of your older assets where you would divest them and take advantage of high asset prices in the market?
Ed Coll: Well, it's a constant question, but the reality is this the older ships, if you were to sell them, you would get a premium, but it will not be better than trading them. For example, if you would sell a 2003 built vessel, you might get $10 million for. But at current rate levels, you can make trading at $7 million in one year. So the -- it doesn't go dollar for dollar. So I think the way we look at it is the sort of cash cows and we won't get the dollar for dollar trade-off with that. And if you -- we need the ships on the water, the owned ships. And so to sell an older ship and trade into a newer ship at the moment that doesn't work. Also in the state of this market, the secondhand market is extremely difficult to purchase ships and the levels are extremely high. Even if you can find something to buy which there's not very much quality available in the market to buy anything, the secondhand values are creeping up against newbuilding prices. And this is a situation where we are at the moment. And the key and we've been fortunate with the ships that we bought their values are up quite a bit. But -- and -- but they're earning really good money. And we'll see. We're always evaluating it, but now is the time that we should be just earning the operating cash off of those ships because you're not going to get the value at kind of selling them. If we could buy our own older ships, we probably should be doing that, but you don't want to buy anyone else's junk either.
Liam Burke: No. And just on the rising rate environment, I mean, your fixtures for the quarter are pretty strong. Does that change your strategy between balancing, between time charters and spot? And how do you balance that in the rising rate environment. Do you want to fix more on a time charter base?
Ed Coll: Well, I think, we view the whole business in this way. I mean we -- this is a good opportunity for us to build our general business, including terminals and logistics. It gives us more opportunities in that space just to say it. The time charter fleet is working within the market. And if you do a fixture today and it looks really good two weeks from now it may look low. So you -- but it's a good problem to have in that sense. So on the owned ships we are opportunistic. We look at things all the time to add to the mix if it makes sense. And what we also then look at is the futures. And it's -- we've been doing some work on futures because the future market it's at a very extreme discount to the spot market. And so it's actually easier to buy futures at a much discounted price than buying a ship. So we try to take advantage of those situations. And we have contracts. That's the base of our business. It's a good opportunity to expand them at higher levels and that's what we look to do. 
Liam Burke: Great. Thank you, Ed.
Ed Coll: Thank you.
Operator: [Operator Instructions] And there appear to be no further questions. I will turn the call back over to you Mr. Coll for any additional remarks.
Ed Coll: Well, thank you very much to everyone for listening in and wish everyone a happy summer and be safe. Thank you.
Operator: Thank you. And this does conclude today's program. Thank you for your participation. You may disconnect at any time.